Operator: Thank you for standing by and welcome to H&R Block's Second Quarter Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Colby Brown, Treasurer and Interim Vice President, Investor Relations. Please go ahead.
Colby Brown: Thank you, Latif. Good afternoon, everyone, and welcome to H&R Block's fiscal 2025 second quarter financial results conference call. Joining me today are Jeff Jones, our President and Chief Executive Officer; and Tiffany Mason, our Chief Financial Officer. Earlier today, we issued a press release and presentation, which can be downloaded or viewed live on our website at investors.hrblock.com. Our call is being broadcast and webcast live, and a replay of the webcast will be available for 90 days. Before we begin, I'd like to remind listeners that comments made by management may include forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties and actual results could differ from those projected in any forward-looking statement due to numerous factors. For a description of these risks and uncertainties, please see H&R Block's annual report on Form 10-K and quarterly reports on Form 10-Q as updated periodically with our other SEC filings. Please note, some metrics we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP figures in the appendix of our presentation. Finally, the content of this call contains time-sensitive information accurate only as of today, February 4th, 2025. H&R Block undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. With that, I'll now turn it over to Jeff.
Jeffrey Jones: Thank you, Colby. Good afternoon, everyone, and thanks for joining us. I'll kick us off today with a recap of our results from the second quarter, provide an update on the progress we continue to make across each of our Block Horizon strategic imperatives and then share more on the plans we are executing this tax season. Tiffany will then discuss our financials, including the ongoing strength of our capital allocation practices. Starting with our performance, the first half of the year was in line with our expectations. Overall, we are well prepared to deliver in the second half of the fiscal year and I'm pleased to reaffirm our fiscal '25 outlook. In the second quarter, we successfully wrapped up the extension season and we're pleased to see continued strength in various aspects of our business, including small business services. Total revenue, however, was flat year-over-year due to lower Emerald Advance volume. From a capital allocation perspective, we continued our disciplined practices, highlighted by our share repurchase program, buying back another $190 million in the quarter, and bringing our total repurchases for the year to nearly 5% of the float. Now let's turn to our Block Horizon strategic imperatives. Starting with small business. Assisted small business tax performed well again this quarter, delivering strong revenue growth. In DIY, we continue to improve the appeal of our small business SKU. Last season, we launched new custom experiences for clients tailored to their occupation, which drove a seven-point increase in conversion. This year, we have increased the number of custom experiences from 5 to 20. We also continue to see favorable trends in bookkeeping and payroll services, which altogether delivered double-digit revenue growth year-over-year. At Wave, our key priorities of accelerating revenue growth and driving profitability remain unchanged. To that end, I'm pleased that we achieved revenue growth of 15% in the quarter. Monetization trends are positive as we continue to see strong adoption of our high-margin subscription products, ProTier and Receipts. We continue to focus on doing what is right for the small business owner and I feel good about the changes we are implementing to better serve them. Overall, I'm pleased with our small business performance and remain excited about the continued growth opportunities ahead. Turning to financial products. We continue to provide clients with options to help them simplify their financial lives and look for ways to enhance their overall financial health. Last month, we were pleased to raise the maximum amount of our Refund Advance loan allowing filers to apply for a loan of up to $4,000 making it one of the largest no-interest, no-fee Refund Advance loans among national brands. Spruce, our mobile banking platform continues to deliver on its mission to help people be better with money. Users and engagement have both grown at a healthy rate. As of December 31st, we had 491,000 total sign-ups, a 55% increase compared to the prior year and customer deposits have more than doubled over the same period. In fact, more than half of the deposits over the past year came from non-tax sources, demonstrating the year-round engagement clients have with Spruce. Recently, we introduced the Smart Tax Refund feature that allows clients to automatically commit their tax refund to savings at the time of deposit. Clients can choose to set aside a portion of the refund to a specific savings goal or simply as extra savings. And as we've done for the past two years, by electing to deposit their federal tax refund into their Spruce account, clients can get access to their refund up to five days early. You'll also recall that last year, we introduced a high-yield savings rate for Spruce clients to earn interest on their savings accounts. Despite the FDIC national savings rate averaging just 42 basis points, Spruce continues to offer 3.5% APY with no minimum balance requirements or monthly fees. We believe this is a very strong competitive advantage compared to others in the space. Now let's move on to our third strategic imperative, Block Experience, which is all about blending digital tools with human expertise and care. There's a reason why millions of taxpayers switched to H&R Block last year. We combine our innovative technology with human help to empower clients to get their maximum refund at tax time. Our pricing is transparent without the additional or hidden fees others may charge. Our teams have been hard at work making data-driven improvements for this tax season and we're well positioned to serve clients however they want to be served, fully virtual to fully in-person and every way in between. As we celebrate our 70th anniversary this year, we remain committed to our purpose of providing help and inspiring confidence in our clients and communities everywhere. In the DIY category, we continue to make significant improvements to the user experience, ensuring a smoother journey from start to finish. For new clients, we further simplified the onboarding process to help them easily select a product that fits their needs, giving them confidence in their tax outcome. We've also continued to improve the speed of our import capabilities and switching to H&R Block from other competitors is now easier than ever, taking less than two minutes. A key focus for us this year has been the enhancement of our GenAI-powered AI Tax Assist tool which is a strong competitive differentiator. We have significantly expanded its coverage across a broader range of tax topics to deliver higher confidence and improved outcomes for our clients. Importantly, we've seen greater conversion among new clients who leverage AI Tax Assist. The tool is designed to understand and respond to complex tax scenarios with greater precision offering personalized guidance throughout the filing process. We have also integrated advanced natural language processing capabilities to better understand and address client queries making the experience more intuitive and user friendly. Once again, AI Tax Assist will be offered free of charge in all DIY paid SKUs, giving consumers unlimited access to the tool, as well as our tax professionals, ensuring our clients receive the expert help they want and need. DIY clients also have the option for one of our expert tax pros to double check their completed return along with source documents and file on their behalf through our Tax Pro Review product, which has grown double-digits annually for nearly a decade. This further demonstrates clients' desire for human help and underscores the product's distinct value. Our marketing is aggressively promoting the product enhancements we've made this season and we're continuing to emphasize the ease of switching and unlimited access to expert help. We are also introducing testimonials for clients who have switched to H&R Block and are more satisfied than they were with other brands. Finally, we continue to work closely with the IRS to combat taxpayer identity fraud. This is an industry challenge and we are committed to doing the right thing, which is at the core of being a trusted brand. Overall, I'm excited about the plans we are executing in DIY and the progress we're making in this category. In Assisted, we continue to provide our clients with transparent pricing, the ability to file however they choose and genuine care and personalized advice from our expert tax pros who on average have been with our brand for 10 years. This deep experience and continuity underscore the trust and reliability we offer and clients can feel confident they're getting every dollar they deserve. Our strong local value proposition is amplified by our extensive retail footprint with nearly 9,000 H&R Block tax offices conveniently located within five miles of most Americans. This accessibility ensures that clients can easily find and visit our offices for in-person support or access the same expertise virtually. Furthermore, assisted clients can get their taxes done on the same day, most in as little as one hour, making our services both accessible and convenient. To capitalize on these strengths, we are increasing our local marketing to help ensure consumers understand this value. This season, enhancing the experience for new clients is a top priority as we look to improve conversion with those who are coming to H&R Block. We're committed to optimizing and elevating the new client experience by reengineering how we introduce clients to our brand. Our approach is designed to quickly and deeply understand our clients and their tax situations, while clearly setting and managing expectations throughout the process. By providing clear guidance and communication from the onset, new clients will feel informed and confident about what to expect at each stage of the experience, making them more likely to file their return with H&R Block. We have also made significant enhancements to our Tax Pro matching algorithm to better pair clients with the tax professional best suited to their specific needs. This personalized matching process benefits both clients and tax professionals, ensuring that clients receive the most relevant expertise and support tailored to their unique circumstances. These strategic improvements focused on personalized interactions, clear expectation management and expert Tax Pro matching capabilities are designed to enhance client satisfaction and drive higher conversion rates. Ultimately, our goal is to deliver a superior tailored experience that instills confidence in our services, improves conversion, and importantly, provides compelling value for clients to return year-after-year. For those who believe the cost of assisted tax preparation is a barrier to entry, we are taking price out of the equation. New clients can take advantage of our price match guarantee, which matches the price an individual paid to their previous tax preparer up to 50% off H&R Block's price. This offer is designed to make our professional tax assistance more accessible, ensuring that a greater number of individuals can experience the value and expertise that we provide. Another way we're demonstrating the value we deliver is through our Second Look service in which we review the last three years of a new client's tax returns to ensure they didn't leave any refund dollars on the table. We're proud to offer this service to clients completely free and believe this represents a competitive advantage for us. Second Look, along with price match guarantee and the stronger Refund Advance offer I discussed earlier are being aggressively marketed across all channels as we look to attract new clients to our brand. In addition to our efforts around new clients, we've also rolled out several enhanced features within MyBlock, H&R Block's digital front door to improve nearly every aspect of the user experience. Beyond uploading and storing tax documents, starting a DIY return, interacting with a tax professional and reviewing, approving and paying for a tax return, returning clients will now have a tailored start screen providing information on their tax professional and upcoming appointments. And all clients will see an outcome reveal screen, helping them understand their tax outcome and giving them further confidence in our expertise. In summary, we are well positioned to deliver this tax season and in the second half of the fiscal year. With that, I will now pass it over to Tiffany to share more about our financial results.
Tiffany Mason: Thank you, Jeff, and good afternoon, everyone. Having been at H&R Block for six months now, I've had time to dig deeper and develop a greater understanding of the business and our financial position. This has only confirmed what I believe to be true when I joined. H&R Block is a great company with an amazing purpose, outstanding people and strong financial profile. H&R Block's investment thesis, which includes a resilient business, strong financial fundamentals, consistent cash flow generation and a shareholder friendly capital return practice is what initially drew me to the company. This has been reinforced through my experience over the last several months. Let me share with you the key components. First, we operate in a very stable industry. Our business model is tied to essential tax preparation services and annual need for millions of consumers and small businesses. The consumer tax industry has grown at a 1% CAGR for many decades. It is steadfast and resilient and this is reflected in our performance. Second, we have scale on our side with nearly 9,000 company and franchise offices across the country, 60,000 expert tax pros, and a robust DIY offering as well as strong brand recognition with a name that has been trusted for 70 years. We have made strategic investments in our Block Horizons imperatives, which include financial and small business services and are leading into our digital transformation and AI advancements paving the way for consistent performance and sustainable growth. Third, our financial profile is compelling. We deliver healthy margins and have generated over $650 million of free cash flow in each of the last three years. Our balance sheet is strong, providing liquidity to meet our seasonal needs while maintaining an investment grade credit rating. And our disciplined capital allocation priorities have been consistently applied over the years as we balance investments in the business, growth in the dividend, and returning excess cash to shareholders through share repurchases. In short, our investment thesis is compelling and I have confidence in our ability to continue driving significant value for our shareholders. Now let's turn to our financial results for the second quarter. As a reminder, Q2 represents approximately 5% of our annual revenue. For the quarter, we delivered total revenue of $179 million, which was flat to the prior year. Increases in revenue from Wave and international tax preparation were offset by lower interest and fee income on Emerald Advance due to a decrease in loan volume. Total operating expenses were $472 million, an increase of 6% primarily due to higher tax professional and corporate wages, increased health care costs and increase in occupancy costs and the timing of marketing expenses versus the prior year. These increases were expected and have been contemplated in our outlook for the year. Interest expense was $22 million, flat to last year. As a reminder, given the seasonality of our business, we typically operate at a loss in the first two quarters of our fiscal year. Our pretax loss in the second quarter was $312 million, compared to $283 million in the prior year and our effective tax rate was 22.4% compared to 33.1% last year. The EBITDA loss was $261 million compared to an EBITDA loss of $231 million last year. And the loss per share from continuing operations was $1.79 compared to $1.33 last year, while adjusted loss per share from continuing operations was $1.73 compared to $1.27 last year due to a higher net loss and fewer shares outstanding as a result of share repurchases. You'll recall, in quarters with a loss, fewer shares outstanding increased the loss per share, but are accretive as we generate earnings for the full year. Our performance in the first half of the fiscal year was in line with our expectations and we believe we are well positioned to deliver strong results this tax season. As a result, we are reaffirming our fiscal '25 outlook, which was provided in today's earnings release. For the full fiscal year, we continue to expect revenue to be in the range of $3.69 billion to $3.75 billion, EBITDA to be in the range of $975 million to $1.02 billion. The effective tax rate to be approximately 13%, which is lower than historical levels due to the closure of various matters under examination and the expiration of certain statutes of limitation and adjusted diluted earnings per share to be in the range of $5.15 to $5.35. The lower effective tax rate is expected to provide a onetime benefit of approximately $0.50 to EPS this fiscal year. From a capital allocation perspective, our strong practices have yielded meaningful results. In Q2, we repurchased a total of 3.2 million shares for $190 million at an average price of $58.65. This brings our first half total share repurchases to $400 million or about 5% of our float. This is a great use of capital and I'm pleased about what we have accomplished. As a reminder, given our narrow trading windows during tax season, we have historically executed our share repurchases in the first half of the year. With that, I'll now turn the call back over to Jeff for closing remarks.
Jeffrey Jones: Thank you, Tiffany. Before wrapping up the call, I want to acknowledge the devastating wildfires in the State of California. Our thoughts are with everyone who has been affected, including our associates, clients and the broader community. We are steadfast in our commitment to providing aid and fostering hope during these difficult times. As the IRS has extended the tax filing deadline for those impacted, we remain well prepared and equipped to serve them this season. In closing, I'm pleased with our performance from the first half of the year and confident in our ability to drive value for shareholders through our business results and capital allocation practices. I'm grateful to our franchisees, tax professionals, and associates for the tremendous work they have done in getting us ready for this tax season. As a reminder, we will provide a full update on the tax season during our Q3 call in early May. Now operator, we will open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta: Hey, Jeff. Hey, Tiffany. I know it's early, way early for the tax season, but I'd be interested to just get your perspective on total volumes for the industry, how you think they're trending and maybe how Block is faring so far?
Jeffrey Jones: Hey, Kartik, thanks for the question. Yes, obviously, we're just getting started with e-file opening last week and we still are anticipating a normal year, which, as we know, is back to 1% volume growth. That's in line with the historical trends. And we still see DIY growing slightly faster than Assisted in the industry. The one big news this year in the industry is 1099-K. We don't have any incremental volume contemplated in our outlook, but our teams have developed the plans and are ready to execute and I think it will be a year of good learning. Millions of people are going to receive these documents for the first time. And we know in the coming years, those thresholds are going to continue to lower. So that remains on the horizon. But right now I feel very good to see our strategy start to come to life in the market, both the changes we've made, the product experience and our marketing campaign. So all the business is still ahead of us.
Kartik Mehta: And Jeff just as a follow-up, are you seeing any difference in competition this year either on the Assisted side or DIY side?
Jeffrey Jones: Well, I think, we've all seen what Intuit has done and has tried to do in the Assisted business, in particular. And I think we understand pretty well what drives dissatisfaction with their consumers and that's largely been the basis for our plans in both Assisted and DIY. But I would say that's probably the biggest news that has been news now for a couple of years is they recognize the value in the Assisted business and are taking steps to make moves there.
Kartik Mehta: And just one final one, Jeff. Are you changing any of your marketing strategies as a result of the competition?
Jeffrey Jones: Well, we obviously always pay attention to competition. But as we're developing our marketing plans we don't know what competition is going to do obviously. So we're really focused on what do we know the consumer needs, what do we think our strengths are. And this year, the moves we have made in terms of things like our price match guarantee for new clients, increasing our Refund Advance, Second Look, which is an incredibly valuable product for consumers. We have made that very easy for our tax pros to execute. So those are three new things this year that are really designed to demonstrate the value that we deliver.
Kartik Mehta: Perfect. Thank you so much.
Jeffrey Jones: Thanks.
Operator: Thank you. Our next question comes from the line of George Tong of Goldman Sachs. Please go ahead, George.
George Tong: Hi, thanks. Good afternoon. As you start to enter this tax season, can you talk about what you're seeing from the government, specifically from the IRS, both positive and negatives that could impact the industry and H&R Block?
Jeffrey Jones: Hey, George. So listen, obviously, there's change underway as the administration comes in. We're waiting for final appointment of an IRS commissioner. We've been through that many times with administrations. They appoint an interim. They announced a new Head of the IRS. We expect that to come. Incoming Treasury Secretary, Bessent, has committed to Direct File remaining operational this tax season. So we're not aware of any changes coming there. And as we've said all along, we've not seen any impact from Direct File given how many companies, including us, already offer free tax prep. But we've been through many, many, many administration changes over time. And I think we have learned that you don't try to predict what will happen, you are ready for any changes that come because changes come every single year and then we operationalize those to serve our clients. And that's obviously what we're doing this season as well.
George Tong: Got it. That makes sense. And then with respect to competition, if you look at independents, can you talk about what you're seeing from independent competitively and how H&R Block's price point for this year compares with what you're seeing from independents?
Jeffrey Jones: Yes, great question. And obviously the label independents covers a wide swath of very, very different kinds of organizations from the mom and pop to the regionals and the sophisticated CPA shops. So from a pricing standpoint, we have never tried to be the lowest price provider. That remains true. We know if someone only cares about price, they will find an independent somewhere who will do that for them. I think one of the big moves we've made this year is just to continue to demonstrate our local expertise, the ease of use, completely reimagined the assisted tax experience in the office, increase the size of our Refund Advance, added Second Look and we know that combination of offering are simply not things that independents offer. And so I feel good about our value proposition. But again, recognizing there are many types of independence in the market.
George Tong: Very helpful. Thank you.
Jeffrey Jones: Thanks, George.
Operator: Thank you. Our next question comes from the line of Alex Paris of Barrington Research. Your line is open Alex.
Alexander Paris: Hi, guys. Thanks for taking my questions. I have a few cats and dogs here. First off, on 1099-K, you had said that you have no incremental volume contemplated in your outlook. Is it a potential contributor to results this year. It could be significant, I think they've reduced the threshold from $20,000 to $5,000 for the gig economy. Is that right?
Jeffrey Jones: Yes, that's exactly right. Both we haven't contemplated it. It could represent upside and that is the threshold this year and that threshold is going to go down to $600 if things remain true over the next two years. That's all right.
Alexander Paris: All right. Great. And then your comments with regard to Direct File. You said Secretary of Treasury, Bessent, has committed to it for this tax filing season. But I saw I think we all saw Elon Musk yesterday say that they have deleted the 18F agency. What is the 18F agency?
Jeffrey Jones: Well, I certainly can't speak for how the IRS builds their products other than to know that they had a third-party organization who was responsible for building Direct File. That's all I can say about them. I don't know them personally. And listen there are many things that are under a foot and changes in headlines in counter headlines that Direct File is still up and running this year, right? So I think what's most important for us is we just stay focused on doing what we do in serving our clients and I can assure you that's the focus of the company.
Alexander Paris: And again this is free. You have a free offering. There's 30 other preparers that have free offerings. And sort of worst case scenario, I think you lose some free volume to Direct File. Is that the right way to think about it?
Jeffrey Jones: Yes. I mean I think as we've assessed it over time, there is volume that counts as market share that delivers no financial value to the company. And so it is possible, although we compete for those three clients, obviously, it is possible that we could lose a client that counts in market share, but doesn't deliver any financial value. That is conceptually true. But again we feel very good about the millions of free filers we served last year and continuing to offer that product.
Alexander Paris: Great. And then just a couple of last little ones. What are the pricing plans for Assisted and DIY this year? In general, you can speak to them together or separately?
Jeffrey Jones: Yes. I will break them apart. I mean in the Assisted business, our pricing strategy has really remained consistent and that's low single-digit price increase. Remembering that delivering transparent pricing is incredibly important and now layering in for new clients, the price match guarantee. So that's a value prop in the Assisted business. In DIY, it's a more dynamic business. Our pricing is more dynamic. There's both base SKU pricing and attach pricing. We have been increasing our prices there, as you know, but we also are still maintaining a price advantage relative to TurboTax and that's still consistent for our strategy for this year.
Alexander Paris: Okay. And the Refund Advance loan, you increased its size to 4,000 or up to 4,000. What was it last year?
Jeffrey Jones: 3,500. We had not increased that max tier in a while.
Alexander Paris: And you've kept it free, no interest rate or no fees?
Jeffrey Jones: That's right, which is quite differentiated, but particularly among independents.
Alexander Paris: Okay. And then the last one is and I don't want to beat a dead horse over, but Emerald Advance, it's a small percentage of full year revenue. But what would you attribute the weakness in interest and fee revenue in that line? And why?
Jeffrey Jones: Yes, yes. And I'll start and if Tiffany wants to add in, she can. But obviously this is a partnership with Pathward and this Emerald Advance season didn't end that long ago. So we're still really evaluating our performance. And I would say two things that we're digging into. One is as we continually try to balance approval rates with repayment rates, getting that mix right. So we're approving clients apply, but we don't have the bad debt situation we had last year. And we tightened the underwriting guidelines for this year. So we've got to evaluate that decision and anything to learn from it. And then second is we also are looking at we want to attract people top of funnel, but we want to attract well qualified prospects to the top of the funnel. And so we'll continue to dig into could we have done anything different? And how do we apply that for next year? This is a good product for its customers. And so we feel good about that core offering, but balancing prospects with underwriting and repayment, we're just trying to get that as right as we can as we go forward.
Alexander Paris: That's great. Thank you so much. I'll get back into the queue.
Jeffrey Jones: All right. Thank you.
Operator: Thank you. Our next question comes from the line of Scott Schneeberger of Oppenheimer & Company. Your question please Scott.
Scott Schneeberger: Thanks. Good afternoon, all. Just following up on that last one, Jeff. In your evaluation of Emerald Advance. Is it something that you feel competitively differentiates or perhaps not? And maybe it's something that you may not discontinue in future seasons?
Jeffrey Jones: Yes. I mean, listen, Scott, we don't -- we're not evaluating discontinuing the product. We see value in the product for the clients it serves. You may recall last year, we relaunched a wholesale new product. And in year one of that new product, we saw great loan volume growth, but we also saw bad debt growth. And so this year, we've managed that better. So we're definitely evaluating how do we improve it, both in terms of attracting prospects and delivering the right approval rates with our bank partner, but we have no plans that we're evaluating to discontinue it.
Scott Schneeberger: Thanks. Switching gears. On DIY, it was pretty well telegraphed that your larger competitor was going to add a tier this year. And they, in fact, did. You all did not. But could you just kind of speak to the difference of kind of the tier levels, what a customer of H&R Block versus what a customer of TurboTax gets on each of these basic tiers. Do you essentially offer that in a different shape or fashion, I guess, is what I'm getting at. Just how you differentiate the new standard versus your offerings? Thanks.
Jeffrey Jones: Yes, Scott, obviously, that's an enormously detailed question of what's covered by SKU us versus competition. I guess I would just summarize it by saying we have to look at our base SKU lineup, form coverage, pricing and attach of things like AI tax assist and human help. And when you put all that together, we feel good about our core lineup of how we deliver value at the price point and we continue to maintain a price advantage. And as you've seen us do, we'll continue to exploit things like transparency and pricing and not being constantly upsold once you're in the experience, things that we know are real pain points for their customers and things that we don't do.
Scott Schneeberger: Thanks. Just a couple more from me, Jeff. On your marketing campaign this year, could you summarize it for us and if you want to differentiate it on category, that's fine. But just a summary of your approach to market this year in that campaign. And timing and increase or decrease, we see what it is in the first quarter. But for the full year, what we should expect on the marketing spend? Thanks.
Jeffrey Jones: Okay. See if I can hit all those, spend, no real meaningful change or contemplated in our outlook. Timing, earlier than last year, but not as early as we saw competition do obviously starting last fall. And if I summarize the campaign, I would say a few things. I mean we are leaning in to the promise that it's better with Block. We are increasingly skewing into digital channels with more personalized experiences. We have vetted really specific competitive claims and have received great consumer feedback and testing about those claims and we're leaning into being really direct what Second Look delivers, what a bigger Refund Advance offers, those kind of things that we know our competition is trying to lean into and we've got really strong claims instead. And so you'll see us in television, in e-mail, in all digital channels lean into those claims very strongly.
Scott Schneeberger: Great. Thanks. And lastly, I don't think there's much magnitude, but you highlighted H&R Block did in a release in early January, things to know for the tax season 2025. With maximum additional child tax credit increasing to $1,700 per qualifying child, that shouldn't have any magnitude. Do you anticipate that change? That seems pretty standard year-to-year. But just curious if you think that, that could have an impact.
Jeffrey Jones: Scott, you cut off at the beginning of your question, but at the end, I think I heard you. And, yes, I would consider that to be a customary year-over-year kind of change in the tax code that we don't expect to have any material impact on performance.
Scott Schneeberger: Thanks. Perfect. Jeff, that was the question. Thanks so much.
Jeffrey Jones: Okay. Thanks, Scott.
Operator: Thank you. I would now like to turn the conference back to Colby Brown for closing remarks. Sir?
Colby Brown: Thank you, Latif, and thanks, everyone, for joining us today. This concludes our second quarter fiscal 2025 financial results conference call.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.